Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Newpark Resources first quarter earnings conference call. During today's presentation all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. (Operator instructions) This conference is being recorded today, Friday, May 2, 2008. I'd now like to turn the conference over to Mr. Ken Dennard with the DRG&E. Please go ahead. 
Ken Dennard: Thank you, Nicole, and good morning, everyone. Like to thank you for joining us for Newpark Resources conference call today to review 2008 first quarter results. We'd also like to welcome our Internet participants listening to the call as it is being simulcast live on the Web. Before I turn the call to management I do have the normal housekeeping details to run through. For those of you who didn't receive an e-mail of the release yesterday afternoon and would like to be added to the distribution list, please call our offices at DRG&E and that's 713-529-6600 to provide your contact information or you can e-mail me with your e-mail information. There will be a replay of today's call as you are aware and it will be available on the company's web site, and that's www.newpark.com. There's also a recorded telephonic replay that'll be available until May 9th and that information is in the press release put out yesterday. Please note that information on this call only speaks as of today, May 2, 2008, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay listening. In addition, the comments made today by management of Newpark during the call may contain forward-looking statements within the meaning of the United States federal securities law. These forward-looking statements reflect the current views of management of Newpark, however, risks – various risks, uncertainties, and contingencies could cause Newpark's actual results, performance or achievement to differ materially from those expressed in the statements by management. The listener is encouraged to read the company's Annual Report on Form 10-K for year ended December 31, 2007 to understand certain of those risks, uncertainties, and contingencies. Thank you and now with that being said I'd like to turn the call over to Newpark's President and CEO Mr. Paul Howes. Paul? 
Paul Howes: Thank you, Ken. We'd like to take this opportunity to thank all of you for joining us today for our first quarter 2008 conference call. With me today is Jim Braun, our Vice President and Chief Financial Officer. I'd like to begin by covering some of the highlights in the quarter. Following my remarks Jim will then discuss the financial results and I will conclude with a brief discussion of our market outlook before opening the call up to Q&A. Now, turning our attention to the first quarter results, we are pleased to announce that our financial performance is improving. Our revenue has grown from $149 million to $178 million, a 20% increase year-over-year. In addition, our income from continuing operations rose $8.7 million, or $0.10 per share. This compares to $0.06 per share for the first quarter of 2007. Our Fluids Systems and Engineering segment posted strong revenue growth of 25% from $125 million to $157 million year-over-year and increased sequentially 15% from $136 million. This strong performance primarily reflects our continued focus on deeper and more complex wells and continued market penetration where the inherent value of our technology and service is recognized by our customers. I'd like to highlight the fact that during the quarter, we generated strong revenue growth in the Rockies under a new contract with Ultra Petroleum where we are providing fluids and services to their rigs in Wyoming. In addition, we are also able to make to progress in passing through some of cost increases that we had seen in 2007. Our international Fluids business was also strong, benefiting from market share gains in Europe and North Africa. Revenues from our Mediterranean operations rose 8% sequentially and 87% year-over-year and we recently won new contracts for offshore work in Libya with Hess, Petrobras, and Nippon Oil. We are also expanding our presence Brazil where we were awarded recently deep water offshore fluids contract with a super major. In support of that contract and other tenders we are bidding on we have previously announced the building of a new fluids facility in Rio de Janeiro. We view this investment as a strategic move to penetrate this attractive and growing market. Now, turning to Mats and Integrated Services. The South Louisiana land market continues to be problematic. The reported number of active rigs working on land in southern Louisiana has declined by more than a third since last year's first quarter, which took its toll on this quarter's results. The segment also recorded pre-tax charges related to inventory and receivable write-downs, as well as severance cost associated with the restructuring activities in the first quarter, totaling $1.2 million. In an effort to improve our bottom line in this business, we have reduced operating costs in line with current rig count. We continue to look for opportunities to expand this business outside the Gulf Coast market. As previously announced in February, our Board authorized the company to buy up to $25 million of our outstanding common stock. During the first quarter, we have purchased 784,000 shares of our common stock for $3.8 million. Lastly, I would like to provide a quick update on the sale of our environmental business. As previously announced, on April 16th we entered into a new agreement with CCS of Alberta, Canada, to sell the business to CCS for $85 million in cash with an expected closing date in July. We entered into this new agreement when the previous buyer, Trinity, was unable to obtain financing given the current state of the credit markets. CCS has indicated to us that it has the ability to finance the transaction with an existing line of credit. The fact that our Environmental Service business continues to perform above expectations gives us increased confidence that this business will be sold. The new agreement with CCS is subject to customary closing conditions, including regulatory approval. With that, let me hand the call over to Jim, who will cover the first quarter financials. Jim? 
Jim Braun: Thank you, Paul, and good morning, everyone. Before I review of our financial results, please note that all the financial information that I will speak of today relates to continuing operations, and excludes the Environmental Services business, which is classified as discontinued operations. As Paul mentioned in his opening remarks, for the first quarter ended March 31, 2008 we reported total revenues $178.5 million, up 20% from the first quarter of last year. Sequentially, revenues were up 12% from the fourth quarter of 2007. Operating income rose 25% over the 2007 first quarter to $16.4 million, and rose 18% sequentially. The current results include $1.2 million of pre-tax charges in our Mats business. Last year's first quarter results included a $2.4 million pre-tax charge related to our shareholder litigation, and the 2007 fourth quarter included a pre-tax $4 million write-off of debt issuance costs associated with our old financing. Income from continuing operations in the 2008 first quarter was $8.7 million, or $0.10 per share, and this compares with 2007 first quarter income from continuing operations of $5.8 million, or $0.06 per share. And now, let me review our segment results. Revenues for the Fluids Systems and Engineering business increased 25% to $157 million for the quarter ended March 31, 2008, as compared to $125 million for the first quarter of last year. Driving this performance was a 17% growth in North American revenues to $129 million from $110 million. While the reported number of North American rigs was relatively unchanged, the increase in revenues reflect our focused efforts to concentrate on deeper and more complex wells and continued market penetration. Our Completion Fluids and Services business also showed positive results compared to last year, reporting a 14% increase in revenues related to higher natural gas prices, and higher rental equipment utilization in the mid-continent region. Our barite wholesale business showed strong growth as well, up 39%, driven by 10% increase in volumes and higher barite unit prices. Also, Canada showed marked improvement. Our Canadian revenues increased by $3.5 million, or 46% as we obtained work on additional rigs despite a slight drop in the Canadian rig count. Only our Louisiana Gulf Coast business was down in the quarter compared to last year on a 30% decline in the reported number of rigs working. As was the case last quarter, our revenues from international operations continue to grow. Ava, our Mediterranean business, continues to perform well, showing a strong first quarter where revenues were up 87% to $28 million from $15 million a year ago. More revenue per rig, market share gains, and a stronger euro responsible for the increase. Overall, operating margins in our Fluids segment improved slightly to13.4% from a year ago, reflecting across-the-board revenue increases in most of our North American and Mediterranean businesses, offset by a lower margin mix of product revenue in the first quarter of 2008. On a sequential basis, Fluid revenues in the first quarter were up 15% from $136 million to $157 million, driven primarily by our North American operations. Canada was one of the stronger-performing areas for us sequentially. Revenues were up $6.2 million to $11 million for the quarter as operators increased their drilling prior to breakup. The U.S. had 12% revenue growth sequentially with most areas showing improvement. In the Mediterranean, we saw an 8% revenue growth. The 13.4% first quarter operating margin was a 50 basis points improvement from the 12.9% in the fourth quarter of 2007 and up from 11.9% in the third quarter of 2007. For Mats and Integrated Services, revenues were $ 21.3 million in the quarter, down 11% from the year prior. The revenues of $3.6 million generated by our Colorado-based Well Site Construction business that we acquired last August were offset by a $3.9 million decline in revenues from our Gulf Coast rental and service operations. Southern Louisiana activity remains weak as we have seen the reported number of land rigs in the area decline from an average of 44 in the first quarter of last year, to 28 in the most recently completed quarter. This 36% drop in activity had a significant negative impact on our average pricing during the quarter. On a sequential basis, the Mats and Integrated Services segment revenue decreased 8%, due mainly to the continuing weakness in Southern Louisiana land markets. In addition, revenues in Colorado were down in the first quarter because of the loss of work with an independent, but this was partially offset by new business with other customers. The quarter was also negatively impacted by charges for inventory, receivables, severance that totaled $1.2 million. Due to these factors and the high fixed-cost nature of our cost structure, Mats operating margins were negligible for the quarter, down from historical highs a year ago. Operating income in this segment declined sequentially to $51,000 from $1.3 million in the fourth quarter of 2007 on a $2.2 million decrease in revenues. Moving on to our corporate costs, our G&A expense of $4.8 million for the quarter was $3.4 million lower than the year-ago quarter and down $200,000 sequentially. This decrease is reflective of higher legal and consulting fees incurred in the year-ago quarter. Turning to our balance sheet, we finished the quarter with cash balances of $8.2 million and total debt stood at $200 million. Our total debt-to-capital ratio was 35%, up from the end of 2007 due to an increase in revenue levels, DSOs, and growth in inventory to support future business. In addition, the repurchase of 784,000 shares for $3.8 million during the quarter added to debt levels. We plan to use the proceeds from the pending sale of our Environmental Services business to pay down our debt. Our new $225 million credit facility entered into December of last year had a positive impact on interest expense for the quarter. The effect on the quarter was $1.2 million savings in interest expense and this new facility gives us improved operating flexibility, which will help us execute our strategic plan. Finally, our capital expenditures for the quarter were $5.7 million, while depreciation and amortization was $5.9 million. For the full-year 2008, we are projecting capital spending to be about $25 million. And now, I'd like to turn call back over to Paul for his concluding remarks. 
Paul Howes: Thank you, Jim. Overall, I am very pleased with the company's performance. However, we still have work to do in the Mats and Integrated Services segment, and I expect to be able to announce a new leader for that business in the next 30 days. With the current high natural gas prices we expect the U.S. market to remain strong through the remainder of 2008. However, we do not foresee a recovery of land-based drilling in Southern Louisiana. With respect to Canada, we anticipate a normal break-up and an overall improvement over last year. Internationally, we remain very optimistic that our business will continue to grow, although not at the same rate as we saw last year. Our Mediterranean business should continue to benefit from growth in the North African markets where we continue to expand our footprint into new countries. And as I said in my opening remarks, we believe the Brazilian market provides a strategic opportunity to showcase our product technology and service capabilities in one of the most exciting and fast-developing fields in the world. With that, we will now take your questions. Operator, please? 
Operator: Thank you, sir. (Operator instructions) Our first question comes from the line of Marshall Adkins with Raymond James. Please go ahead. 
Marshall Adkins – Raymond James: Good morning, guys. Let's jump into a little more detail on the Fluids side. Obviously, that's, as of this quarter, the main driver of your business. It's phenomenal growth year-over-year. Where are you on the international versus, say, North America revenue breakdown today and where do you see yourself say a year or two from now? 
Jim Braun: Okay. Good morning, Marshall, it's Jim. Our non-U.S. revenues, Canada and the Mediterranean and a little Brazil make up currently about 25% of the revenue mix with about 7% of that being Canada, so we would certainly like to grow that into the remaining 25% and move to 30% but continue the expansion and faster growth internationally. 
Paul Howes: Yes, Marshall, this is Paul. We certainly see Brazil as a real growth opportunity for us. The recent signing of a new multi-year contract with a super major there and we expect that that work will begin late third quarter as we get our facility operational certainly add to the international revenue going forward as well as we see in the Mediterranean and North African market as we continue to expand our footprint into new countries. As we mentioned on previous calls, Egypt is a country that we are starting to move into as well. 
Marshall Adkins – Raymond James: Should we think of that business as primarily internationally-driven from here? I mean could you be 50% of revenues in three years coming out of there? Or is the pickup in North America going to keep those percentages relatively close to where they are today? 
Paul Howes: Yes, Marshall, this is Paul, again. I don't think we'll reach that 50% level in the time frame that you stated. We do see strong activity for our products and services here in North America, as we mentioned earlier. Although the rig count is relatively flat we continue to gain market share. An example of that is the recent win with Ultra Petroleum in Wyoming where we have a majority of their rigs operating with them, and so we see some real strong basins playing, the Rockies, Mid-Continent, West Texas is picking up for us as well. 
Marshall Adkins – Raymond James: Great. All right, last question. Mat business, obviously a pretty ugly quarter. It seems like – you mentioned last quarter that you were going to implement some cost controls so that maybe you can get into double-digit margins. Was this quarter the quarter where you had to clean everything up and we should see margins improving next quarter and beyond, or is that going to be pushed out a while? 
Jim Braun: Marshall, I think it will be pushed out a while and I say that because we have taken the action, we are addressing the cost, but if you follow the rig count there, it’s now averaging in the 22 rigs so far this current quarter and we are going to have to struggle to keep up with that declining rig count. So until we see improved activity there, I think we'll be challenged to see double-digit margins. 
Marshall Adkins – Raymond James: I want to make sure I heard you right from earlier. Your outlook there continues to be kind of ho-hum, I mean that you are not seeing real visible improvement next several quarters; is that fair? 
Paul Howes: I would agree with that. This is Paul. I mean what we are seeing in the South Louisiana land market is that lot of the rigs have been moving up into other places – Fayetteville, the Barnett Shale, and I think, in fact, in April, we may have hit a low in that region, about 19 rigs operating, so we see continued rig decline, but some stabilization here in April. 
Marshall Adkins – Raymond James: Okay. Great. Thanks. 
Operator: Thank you. Our next question comes from the line of Brad Evans with Heartland. Please go ahead. 
Brad Evans – Heartland: Gentlemen, good morning. 
Jim Braun: Good morning. 
Brad Evans – Heartland: I guess I just wanted to – Jim and Paul, I guess we – we've been patient long-term shareholders and I have to say we are real optimistic of the direction the company at your leadership, so we appreciate the actions you've taken so far. That doesn't – I guess notwithstanding that fact I guess the stock of Newpark is down about 33% since you have taken over and the OSX over that same time frame is up 52%. I mean clearly the diamond in the portfolio of Newpark is the Fluids business and we applaud what you've done with the Environmental divestiture, and I guess just with the continued lackluster performance that we are seeing in the Mat business why continue to allocate capital, if any, as well as management time and distraction in a business that really has very limited growth opportunities as well as you don't have a competitive advantage, whereas continuing to get focus and driving all of your energies behind the Fluids business seems to be where all the value within the company lies. I just – it's frustrating to see the – you guys are getting into Olympic-type of shape here but you are continuing to drag a couple of tires behind you. Can you address that comment? 
Paul Howes: Sure. 
Brad Evans – Heartland: Your thinking behind it? 
Paul Howes: Absolutely. This is Paul. As part of our strategic plan, we looked at our portfolio of businesses back about 12 months ago, in fact, and we had decided at that time that the Environmental business was not a core business we wanted to go forward with and at the time we were moving forward with the restructuring of that Mats business, integrating the five business units into one, and we felt that that – we hadn't really characterized the true value of that business for our shareholders, and we still feel that way today. Now, as part the strategy we did anticipate that we were going to be vulnerable to downturn of rig activity in southern Louisiana and the Gulf Coast, and, in fact, that's why we moved forward with the acquisition of SEM out in Colorado to diversify our revenue base in North America that we believe will provide stability to that business. Certainly, the rig count declined faster than we anticipated and we have had to respond with additional management time, as you said, but we have not been putting a lot of capital in that business outside of the acquisition, again, to diversify the revenue stream to provide some stability and less vulnerability to downturn of rigs in southern Louisiana. So, we still believe it's a business that we need to hold on to. We still haven't, from our perspective, quantified the real value for our shareholders. And so we remain optimistic but cautiously optimistic around that business. 
Brad Evans – Heartland: Okay. So, I guess just to clarify that comment then, so it sounds like you think that shareholders of Newpark Resources are better off to remain in the Mat business long term, is that correct? 
Paul Howes: Well, certainly it wouldn't benefit our shareholders to take a different direction at this time. We need to get through the recent restructuring. We think we've right-sized the business to reflect the current rig count that declined in that 20 range and I think we need to work through the end of this year and see where that business stands. 
Brad Evans – Heartland: Okay. Well, congratulations on the Fluids side, nonetheless. Thank you. 
Paul Howes: Thank you very much. 
Operator: Thank you. Our next question comes from the line of Terese Fabian with Sidoti and Company. Please go ahead. 
Terese Fabian – Sidoti & Co.: Good morning. I also have a Fluids and a Mats question. On the Fluids side you had a nice uptick in sales. Is this, do you think, going to be lumpy going forward in terms of modeling or do you think this is going to a basis for a run rate? 
Jim Braun: Well, I think, Terese, the strong performance that you saw was certainly a very nice, pleasant surprise to us. We had seen some increase in our market share and in the markets we were working. To think it will continue at that rate may be a little optimistic, but we certainly think that there will continue to be growth, both in the international markets as well as our North American market. 
Paul Howes: I think the one – going into the second quarter, obviously, we are into the breakup in the Canadian market and we had a pretty strong performance in the first quarter. So, we are just going to see some softness, obviously, due to the breakup in the Canadian which will impact revenues slightly. 
Terese Fabian – Sidoti & Co.: Okay. Thank you. And you said that you had a contract in the Rockies with Ultra Petroleum, is that an ongoing supply contract? 
Paul Howes: That is correct. 
Terese Fabian – Sidoti & Co.: Okay. Now, on the Mats side, can you tell me historically how much of your revenue came from the southern Louisiana area? 
Jim Braun: Yes, that is – that revenue level has been in the 35% to 40% out of South Louisiana. 
Terese Fabian – Sidoti & Co.: And – 
Paul Howes: For the total company. 
Jim Braun: That's out of the total – that is out of the total Mats segment. 
Terese Fabian – Sidoti & Co.: Out of the total Mats segment, right. 
Jim Braun: Right. 
Terese Fabian – Sidoti & Co.: And is it possible that you could move some of the business into northern Louisiana where – I don't know, the Haynesville Shale is much talked about or is that just a different type of an environment? 
Jim Braun: Well, certainly, there is some equipment you can use, there's also people that you can move as needed. The large difference will be in northern Louisiana, the operator doesn't have the need for the matting system to provide a soil stabilization. So we have a fleet of Mats, both wood and composite that have applicability primarily to the southern Louisiana market. 
Terese Fabian – Sidoti & Co.: Could they be applied to the Canadian market? 
Jim Braun: They certainly could. There are Mats in Canada. There are a large number of Mats in that market, already and it's fully – it's fully being met. 
Terese Fabian – Sidoti & Co.: Okay, thank you very much. 
Operator: Thank you. Our next question comes from the line of Karen Green with Oppenheimer. Please go ahead. 
Karen David-Green – Oppenheimer: Thank you and good morning. 
Paul Howes: Good morning, Karen. 
Karen David-Green – Oppenheimer: Just going back to the Mats, can you touch a little bit on pricing and what you are seeing on the pricing side of the equation? 
Jim Braun: Yes, the pricing in the Mats compared to a year ago is – our average pricing on the rental is down 35%. It's stabilized some in the first quarter compared to the fourth quarter, but it remains very fragile at these rig levels. 
Karen David-Green – Oppenheimer: And how about inventory levels? 
Jim Braun: Inventory levels of Mats? We've added a little bit in an anticipation of some Mats sales in the coming quarters. 
Paul Howes: But with respect to our rental fleet, Karen, that the inventory there our PP&E is actually down because we are not replacing wood Mats as they become obsolete or disposed of. 
Karen David-Green – Oppenheimer: So right now if you had to look at your overall mat configuration, what would the break down be between the inventory of wooden Mats versus composite? 
Jim Braun: The wooden Mats are, now about 40% of the fleet and they continue to decline because as they are retired from service we don't replace them. 
Karen David-Green – Oppenheimer: Okay. Great. And then on the Brazilian contract, congratulations on that award. Can you, maybe, provide us a little bit more color in terms of – I know you mentioned a third quarter is probably going to be when it kicks off, but kind of dollar value and what we should be looking for as we go into 2009 from that contract? 
Paul Howes: Yes, hi, Karen, this is Paul. These contracts are somewhat ambiguous. They are master service agreements to supply. It really depends on when they begin and certainly the deepwater wells have a significant multiple over the land-based wells. So I don't think we are prepared at this time to give any numbers. Get a little history behind us and we'll feel better in that contract. 
Karen David-Green – Oppenheimer: Absolutely. Congratulations on that. 
Paul Howes: Well, thank you, Karen. 
Operator: Thank you. Our next question comes from the line of John Flanagin with First Analysis Securities Corporation. Please go ahead. 
John Flanagin – First Analysis Securities Corporation: Good morning, guys. Also on the Fluids side and specifically internationally, I'm looking at the acceleration of the fourth quarter of '07 for Ava and interested in the list of contracts you ran through and I am wondering which projects began generating revenue in the first quarter. I know there were a couple of test wells done in Egypt, and then the renewal with Libya and the land-based project in Brazil. Where any of those sort of on an upsurge or coming on line in the first quarter? 
Jim Braun: Yes, in terms of the Libya contracts that we mentioned, most of that work will be started after – or the first quarter in subsequent quarters in earnest. 
John Flanagin – First Analysis Securities Corporation: Okay. And with Egypt, anything follow from those test wells? 
Jim Braun: The test wells as we noted were successful. We are now qualified to bid on work and we are in the process of waiting to do that as the tenders come out. 
John Flanagin – First Analysis Securities Corporation: Okay. So, I guess this brings me to the real – the bottom line question. How do you guys describe the reacceleration of growth for Ava around the Mediterranean? 
Jim Braun: In the first quarter? 
John Flanagin – First Analysis Securities Corporation: Yes, because I think a 35% growth in the fourth quarter and then really – really picked up momentum in the first quarter. Growth, that is. 
Jim Braun: Yes, the growth of the first quarter, as you mentioned, it was 8% sequentially and the third quarter had nice – or fourth quarter had nice growth over the third quarter. And, again, it's just additional work, market share gains that we are getting in those countries. 
John Flanagin – First Analysis Securities Corporation: I'm looking at the 87% pickup, Jim, from a year ago. Much, much bigger growth than in the fourth quarter's year-over-year comparison. 
Jim Braun: Yes, that was certainly, John, the beginning of the strong growth over there where we did $15 million in the first quarter. We've added a series of other pieces of new work for operators over there that haven't been specifically mentioned over time, but those were all new entrants into new markets along north Africa, Libya, Tunisia. Of course Algeria's picked up with our operations with Sonatrach, so it's work we've had before but we've been able to pick up additional work with them. 
Paul Howes: The other thing I would add to that, Jim, in terms of the Ava business where we've seen some pretty interesting growth as well is in the old eastern block countries. Romania, seeing some pretty strong growth there as well as just starting a little bit into Hungary. 
John Flanagin – First Analysis Securities Corporation: Thanks, Paul and Jim. 
Paul Howes: Thank you. 
Operator: Thank you. Our next question comes from the line of Roger Young with Wm. Smith and Company. Please go ahead. 
Roger Young – Wm Smith & Co.: Several questions. One, what is the geographic footprint of SEM in the Rockies. Is it more than just Colorado? Secondly, on an overall basis in the Mats and Integrated Services, what is your break-even revenue per quarter cash flow? Where do you break even on a cash flow basis? 
Paul Howes: Let me – this is Paul– let me answer the first question in terms of SEM and its area that it competes in. It's really focused out in the Piceance Basin, Parachute, Grand Junction area, and so that's where that business competes in about a 50 to 75-mile radius. With respect to the margins, Jim? 
Jim Braun: Yes, I think, on the question about the break-even I mean we are certainly cash flow positive now even at these low levels with depreciation. I mean we could – revenues could fall another $3 million or $4 million and I think we'd still be positive cash flow. 
Roger Young – Wm Smith & Co.: Thank you. 
Operator: Thank you. Our next question comes from the line of Andrew Morey with Cowen Asset Management. Please go ahead. 
Andrew Morey – Cowen Asset Management: Yes, hello, can you hear me? 
Paul Howes: Yes we can. 
Jim Braun: Good morning, Andrew. 
Andrew Morey – Cowen Asset Management: Thanks. You mentioned being able to pass through some costs. Were you referring to Fluids or Mats or both? And can you just be a little bit more specific about where you are seeing pressures and what you are successful in passing through? 
Jim Braun: Yes, we are talking specifically about the Fluids business and what has happened over the past 12 months is we've seen an increased cost in our barite or our barite transportation. Certainly the fuel costs, transportation costs associated with higher oil prices, as well as wage inflation. And our ability to pass those costs along to our customers typically lags the actual increase and we started to catch up and make some progress in doing that here in the most recent quarter. 
Andrew Morey – Cowen Asset Management: Okay. Great. Thank you. 
Operator: Thank you. Our next question comes from the line of Al Shams with MidSouth Capital. Please go ahead. 
Al Shams – MidSouth Capital: Yes, good morning, gentlemen. Not so much any questions as really just a couple of comments I'd like to share with you. I've been a long-time individual shareholder and also a stock broker so I have plans for holding some Newpark stock. And Paul, I realize that you and your team came in really under adverse situations, so I really compliment you for the good job that you have done so far in handling those difficulties over the last couple of years. But I wanted just to share couple thoughts with you. Number one, let's always remember to be very, very respectful of other people's capital. It's individual shareholders and stockholders who have really provided the capital for this company. You guys are really stewards of that capital. Secondly, my sense is – I don't know if you've said it, but my sense is you are probably starting to look at some acquisitions and let's be very, very careful how we approach acquisitions. In the business world it's a real macho thing to go out and do deals and that's kind of sexy part of the business, but if you don't operate these things properly you could lose a lot of money, we could be back in the jam we were in 2, 2.5 years ago. So those are the comments – those are the comments I'd like to share with you and if you have any reaction, or rebut to that, I'd love to hear it. 
Paul Howes: Al, just thanks for the comments. Appreciate it. 
Al Shams – MidSouth Capital: Okay. 
Operator: Thank you. Our next question comes from the line of Andrew Rosenberg with Footprints Asset Management. Please go ahead. 
Andrew Rosenberg – Footprints Asset Management: Congratulations on the Fluids quarter this quarter, guys. Just – most of my questions have been answered, just one quick one I guess on the margins on the Fluids side? The international business with the growth there should have pushed the needle on the operating margin beyond the 15% you've talked about in the past? 
Jim Braun: Well, the margins on the international business should improve the overall mix and help towards getting to that 15% target that we've set. 
Operator: Thank you. (Operator instructions) Our next question comes from the line of Brad Evans with Heartland. Please go ahead. 
Brad Evans – Heartland: Hey, guys, just one follow-up with respect to the Fluids business. It's not quite clear – as you get into the second quarter, do you think you are ahead of the cost curve pricing – with the pricing actions you've taken? 
Jim Braun: We certainly think we've caught up. We still have a little more work we'd like to do to be ahead of the curve as you described it, Brad. 
Paul Howes: Certainly on the barite side the global transportation rates and freight rates have stabilized and so we think those are behind us. 
Brad Evans – Heartland: So should we expect to see modest margin expansion in the Fluids business as we get into the second and third quarters of this year? 
Jim Braun: Brad, I would expect us – coming off the breakup in Canada that that will drive margins down a little bit. We would expect to see continued growth in the other pieces, so it'll be a tight race to see those move up off the strong Canadian quarter, at least in the second quarter. The balance of the year we certainly expect that to be the case. 
Brad Evans – Heartland: Okay, that's a good point. Thank you for the clarification. And then the $25 million CapEx budget you cited, does that include the Brazilian investment that you talk about in the press release? 
Jim Braun: It does. 
Brad Evans – Heartland: And what is the price tag of the Brazilian facility? 
Jim Braun: That's a $4 million to $5 million facility. 
Brad Evans – Heartland: Okay. Thank you. 
Operator: Thank you. Our next question is a follow-up question from the line of Marshall Adkins with Raymond James. Please go ahead. 
Marshall Adkins – Raymond James: Yes, Jim, just a couple of housekeeping things. Your tax rate was a lot lower than we thought. I presume that's because you are seeing some more international business. Going forward, where would you have us model that? 
Jim Braun: Yes, we expect the rate to be in the 34% to 35% range for the balance of the year. 
Marshall Adkins – Raymond James: So up a little bit from – 
Jim Braun: Up a little bit. 
Marshall Adkins – Raymond James: Depreciation was a lot higher than we were modeling and it also seems to be a bit lumpy. Help me out to understand what's going on there and really what should plug in there going forward? 
Jim Braun: I think the biggest change that’s happened in the depreciation is on the amortization side actually this quarter coming from a full year's – or full quarter's worth of amortization on that acquisition in Colorado and some of the intangibles and the other assets that were identified. In terms of a run rate, you ought to see it at levels like this, perhaps down a little. 
Marshall Adkins – Raymond James: Okay, so just down a hair from where we are now? 
Jim Braun: I would expect that to be the case. 
Marshall Adkins – Raymond James: All righty. Thanks, guys. 
Paul Howes: Thank you. 
Operator: Thank you. Our next question is a follow-up question from the line of Terese Fabian with Sidoti and Company. Please go ahead. 
Terese Fabian – Sidoti & Co.: Yes, I have a question on Brazilian market. Can you talk a little bit about what your expectations are there and the competitive outlook with other providers, as well as what your capacity would be for growth? 
Paul Howes: Sure, absolutely. This is Paul. Obviously, we feel very optimistic about the Brazilian market. We are putting in place the new facility, which will have sufficient capacity to service other oil companies, super majors that play in that deepwater market. I mean there is other – there is a – current tenders out today with Petrobras. Those bids are due in mid, late May. We certainly see the competitive environment there a little different than the U.S. market. There's really four competitors in the Brazilian market for fluids technology and that's M-I Swaco, Halliburton, Baker Hughes, and Newpark versus the U.S. market where there is a lot of smaller fluids companies. So we see a better competitive landscape. We think that we compete very effectively against the companies like M-I., Halliburton, and Baker, and have been successful in winning contracts where we compete head-to-head with them. So we remain very optimistic about the Brazilian market going forward. 
Terese Fabian – Sidoti & Co.: Okay, and just to compare it with the Mediterranean market, is it similar or dissimilar to that, the Brazilian market? 
Paul Howes: Well, it's similar, but again, in the Mediterranean market you've got a lot of – you've got several national oil companies there that are at play and basically in the Brazilian market you've got Petrobras and then you've got some super majors that play. It's a little different in terms of the customer mix, but we feel very optimistic, again, in both regions. 
Terese Fabian – Sidoti & Co.: Okay, thank you. 
Operator: Thank you. Our final question comes from the line of Karen Green with Oppenheimer. Please go ahead. 
Karen David-Green – Oppenheimer: Thanks. Just wanted to see if we could get a little bit more color. I know you are going to be getting in some cash in the second half of the year. In terms potential deployment, acquisitions, things that you are looking at, valuation multiples, if you could kind of comment on that that would be great. 
Jim Braun: Yes, Karen, it’s a good point and again touches on – earlier on the Al's comments about acquisitions. We have been looking at acquisitions and we have on at least a couple of occasions gone down the path, some fairly detailed analysis, but at the end of the day it didn't make sense in terms of valuations and markets and we've decided to not pursue them from a stewardship position. But there remains opportunities there that we continue to look at and we remain committed to buying businesses where it makes sense and we can make good use of that capital. 
Karen David-Green – Oppenheimer: And under your credit facility is the $225 million completely available or do you have a drawdown under that? 
Jim Braun: Well, under that there's a $50 million term piece of it, so there's a– 
Karen David-Green – Oppenheimer: Okay. 
Jim Braun: Now, there is a $170 million revolver. It also has an accordion feature that if we ask the banks and they approve, we can increase, so we should have plenty of capacity there, particularly with respect to the proceeds from the sale of the Environmental business. 
Karen David-Green – Oppenheimer: And have you seen any type of change in pricing dynamics? Any kind of valuation multiples for the acquisitions that you are looking at? 
Jim Braun: No, they remain – they remain a little bit all over the place, but still on the robust side. People still have high expectations. When you have $113 oil and $10 gas people think their businesses are worth a lot as they should. 
Karen David-Green – Oppenheimer: Thanks. That's all I have. 
Operator: Thank you. That does complete our question-and-answer session. I'd like to turn it back over to management for closing remarks. 
Paul Howes: Thank you. We'd like this thank you all once again for join us on this call and for your interest in Newpark Resources. Have a good day. 